Operator: Greetings, and welcome to the Custom Truck One Source First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Perman, Vice President of Investor Relations. Thank you, Brian. You may begin. 
Brian Perman: Thank you, and good afternoon. Before we begin, we would like to remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the factors that could cause actual results to differ please refer to the Risk Factors section of the company's filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during the call in the press release issued today. The press release we issued this afternoon and the presentation for today's call are posted on the Investor Relations section of our website. We'll be filing our first quarter 2022 10-Q with the SEC this evening. Today's discussion of our results of operations for Custom Truck One Source Inc. or Custom Truck is presented on a historical basis as of or for the three months ended March 31, 2022 and prior periods. While our reported results can only include Custom Truck One Source LP for the period since the April 1, 2021 merger date, we've presented and will be discussing today pro forma combined results as if Nesco and Custom Truck had operated together for all periods. We believe such combined information is useful to compare how the combined company has performed over time. Joining me today are Fred Ross, CEO; Ryan McMonagle, President and COO; Brad Meader, CFO; and Todd Barrett, Chief Accounting Officer. I will now turn the call over to Fred.
Fred Ross: Thanks, Brian and welcome everyone to today's call. As we move into the second year as a combined company, I'd like to take this opportunity to thank all of employees, customers, suppliers who support our business and help us navigate the challenges our industry has faced over the last two years. With our integration largely complete, we have largely shifted our efforts towards the optimization of our operations to fully realize the benefits of enhanced scale in our one-stop shop business model. Our primary goals are to provide unparalleled service to our customers, grow our market share and deliver value creation to our shareholders. We successfully delivered sequential revenue and gross profit gains in Q1 despite typical seasonality and the continuing industry headwinds around the supply chain. This strong Q1 2022 results highlight the incredible performance by our team. On a pro forma basis compared to the prior year's quarter, adjusted EBITDA Q1 was up 26% despite lower revenues, while Q1 revenue was down $28 million versus Q1 of 2021, it was still up more than $10 million compared to that of Q4. The year-over-year decline reflects the impacts of continued supply chain issues particularly on new equipment sales. Our ERS business continues to perform very well with utilization at 82.5% for the quarter up from 78.2% for Q1 of 2021. The modest sequential decrease in utilization from Q4 2021 reflects our typical seasonality. Our TES business continues to see very strong demand with backlog growing to a record of $586 million up by 42% during the quarter and by 283% since the end of 2020. Strong demand for both rental and new sales provides us the opportunity to focus on improving profitability and margin expansion. Finally, we're making good progress towards reducing our pro forma net leverage ending the quarter at 3.8 times down almost a full turn from 4.6 times at the time of the merger. Our strong first quarter results are a continuation of the positive momentum we created through 2021 have provided a very solid foundation for us to build on for the rest of the year. They reflect the realization of the benefits of our one-stop shop business model and our focus on end markets that consistently exhibit strong underlying fundamentals and are less acceptable to cyclicality. While our outlook for the rest of the year is tempered by the continued impact of global supply chain issues and inflation, we are confident that we will navigate these to the best extent possible. During the remainder of 2022, we expect to see continued strong revenue, adjusted EBITDA and margin growth across our business segments. Looking ahead, I cannot be more excited about the favorable prospects for Custom Truck. With that I will turn it over to Ryan.
Ryan McMonagle: Thanks, Fred and good afternoon, everyone. First, I want to echo Fred's comments regarding the tremendous efforts of our employees who helped us deliver these strong financial results. Despite the economic challenges everyone is facing right now, demand remains robust in each of our strategically selected four primary end markets; transmission and distribution or T&D, telecom, rail and infrastructure. These markets offer long-term growth opportunities well in excess of GDP and should for the foreseeable future. We see this reflected in the growing backlogs of the utility and telecom contractors, our largest customer base. The infrastructure build bolsters and extends the demand cycle and further strengthens our overall business fundamentals. Pricing across our end markets is trending positively, reflecting strong demand in the implementation of our tiered rental pricing strategy, and we're driving margin expansion in our largest segments. On rent yield for the quarter held steady versus Q4 at 39.1% up from 37% at the time of the merger. Continued industry supply chain issues present the only significant limitation to our ability to meet customer demand. Over recent quarters, we have experienced intermittent issues receiving adequate supply of the major input for our trucks, namely chassis, attachments and bodies. This certainly impacted our ability to deliver product to our customers and grow the rental fleet at our desired pace during Q1. However, production in Q1 ramped significantly versus Q4. And March represented, our highest month of truck and equipment production ever, resulting in whole goods inventory increasing by $41 million versus Q4. We expect average monthly production during the second quarter to equal the improved production levels we saw in March. We saw an increase of inventory deliveries from our vendors of more than 20% during Q1, compared to Q1 last year. And we anticipate our inventory inflows to continue to increase in Q2, and for the remainder of 2022. We're optimistic that the supply chain challenges we've been discussing over the past several quarters will improve further in the second half of this year. Based on these trends, we anticipate adding more growth CapEx to the rental fleet in Q2 than we did in Q1, and we anticipate that TES will experience quarter-over-quarter growth in Q2 as well. Inflation continues to impact our industry. We are seeing wage inflation consistent with the rest of the market, as well as higher costs for some of our production inputs. We are passing through certain input cost increases to our customers in implementing reasonable price increases, where possible. From an integration perspective, we recently achieved the important milestone of bringing our Kansas City location in all of the Nesco service locations onto a single ERP system. With this integration largely complete, we are now focused on optimizing the system. Today and moving forward, our efforts are less directed towards synergies and cost savings than they are on optimizing our production, and how we deliver service to our customers. Our goals of producing continued strong revenue, gross margin, and adjusted EBITDA growth, and increasing shareholder value have become part of who we are and how we run our business. As we look ahead to the rest of the year, we believe that favorable end market tailwinds, robust customer demand, and solid execution by our team all position us to achieve these goals. While supply chain challenges and inflation remain obstacles as the year progresses, we look to fully take advantage of the multiple opportunities emerging. We know our employees are the key to delivering financial results and unmatched customer service, as demonstrated in the first quarter, and I'd like to extend a sincere thank you to them. I will now turn it over to Brad. 
Brad Meader: Thanks, Ryan, and good afternoon, everyone. We announced two weeks ago that, I will be leaving custom truck at the end of the month; and Todd Barrett, our current Chief Accounting Officer will assume the role of interim CFO effective this Friday. Todd has been a critical part of the team during his three years with the company, and I know Todd will do an excellent job in his new role. I'm going to have Todd walk through the Q1 financial performance in more detail. But first, I want to thank everyone at Custom Truck for granting me this privilege of working for such an incredible company for the last seven years. The people are remarkable. The business model is attractive, and our end markets couldn't be in a better spot. Those three elements will serve as the cornerstone for shareholder value creation over the next several years. I'd like to now turn the call over to Todd. 
Todd Barrett: Thanks, Brad. As Fred and Ryan have indicated Q1, was another strong quarter. Total revenue of $366 million was down 7% compared to pro forma Q1 2021 as a result of supply chain-driven drop in new equipment sales. Total revenue in Q1 increased by 3% sequentially, compared to Q4. Adjusted EBITDA was $91 million, a 26% improvement compared to pro forma Q1 2021, and down only 4% versus last quarter. This sequential drop was primarily the result of higher SG&A costs in Q1, compared to Q4, as well as a shift in revenue mix. Net loss for the quarter was $3.3 million, a $12 million improvement from pro forma Q1 2021, and an improvement from $3.7 million net loss in Q4. Gross profit, excluding rental depreciation was $129 million, representing an adjusted gross profit margin for the quarter of 35.3%, up from 29.1% for pro forma Q1 2021, and 35.1% for Q4. The sequential quarterly gross margin improvement was primarily driven by our strategic focus on pricing, across all our revenue segments. SG&A was $54 million for Q1 or 14.6% of revenues, up from 12.3% in Q4, with the increase driven by timing. Q1 SG&A expense, excluding share-based payments was approximately 10% higher than our expected balance of the year run rate SG&A. Now, turning to our segment results, Fred referenced our continued strong utilization within our ERS segment for the quarter, which was 82.5%, up from 78.2% for Q1 2021, and down slightly from 83.7% for Q4 2021. The lower sequential utilization in the quarter combined with limitations on adding to our rental fleet due to supply chain challenges drove a $33 million decrease in average OEC on rent, compared to the previous quarter. On rent yield was 39.1% for the quarter, which was flat to Q4 and up from 37.8% for Q1 2021. We did see improvement at the end of Q1 with the annualized ORY increasing to 39.6% in March. Our team is doing an excellent job executing on our pricing strategy. Our OEC ended Q1 at $1.36 billion flat, compared to Q4 2021. Consistent with Ryan's earlier comments based on current production activity and the supply chain improvements we have experienced year-to-date, we expect OEC to increase for the balance of 2022. For Q1, ERS rental revenue was $106 million, a modest decrease versus Q4. As previously mentioned, ERS equipment sales for the quarter increased $24 million, compared to Q4 to $59 million. ERS gross profit excluding depreciation was $97 million, up almost $9 million versus Q4. Overall ERS continues to see the benefits of the strong underlying end market fundamentals that Ryan discussed. TES performance for the first quarter remained strong, but continued to be impacted by supply chain issues. Revenues of $168 million were down from $177 million in Q4. Gross profit increased modestly to $24 million in Q1 despite lower revenues, resulting in a gross profit margin of 14.2%, up from 13.2% in Q4. While revenue was down, our sales activity continues to be extremely strong with backlog growing by 42% sequentially from Q4 to $586 million. And this strength was very broad-based across our product portfolio. While supply chain issues are resulting in a temporary impediment to our being able to fully take advantage of the strong demand, we believe the growth in the TES sales backlog reflects growing demand for equipment indicative of our strong market share gains and our pricing discipline. We have been successful in countering inflationary pressures through the implementation of production efficiency initiatives put in place during 2021 in addition to passing through net cost increases to our customers. We are confident we will be able to hold or improve margins over the coming quarters even with the record levels of inflation. Overall, we are very pleased with the performance of the TES business last quarter. Our APS business posted revenue of $34 million, a modest decline compared to Q4. While parts and services revenue grew slightly compared to Q4, rental revenue decreased to $3.6 million in Q1 or 11% of total APS revenue compared to 13% in Q4. That shift in our revenue mix coupled with higher fulfillment and distribution costs as well as the benefit during Q4 of a depreciation recapture stemming from certain inventory valuation step-ups did contribute to a 6% reduction in APS segment gross margin in Q1. APS service revenue continues to be challenged by our strategic decision to allocate our APS service technicians to rental fleet service in order to sustain our strong levels of core rental fleet utilization. Despite the sequential quarterly decrease in EPS gross margin since we made the decision last year to restructure the APS business and to optimize its cost structure, the APS gross margin has more than doubled from 12% in Q2 2021 to current levels. We expect gross margin to remain in the upper 20% range for the coming quarters. Through our tools and accessories division in our APS segment, we are well-positioned to capture a larger share of our customers' wallet and strengthen our position with customers and suppliers alike and we are dedicated to providing the resources necessary to execute a strong profitable business plan. We continue to focus on maintaining a strong liquidity position and improved leverage while at the same time investing in the rental fleet and pursuing selective growth through M&A including our acquisition of HiRail Leasing in January. During the quarter, we increased the borrowings under our ABL by $15 million with the outstanding balance ending at $410 million, mainly as a result of using the ABL to fund the HiRail acquisition in January. At March 31, we had $331 million available under the ABL with the ability to upsize that facility. With LTM adjusted EBITDA of $352 million, we finished Q1 with a net leverage of 3.8 times, which is an improvement of 0.2 turns from the end of Q4 and an improvement of almost one turn since the close of the transaction. Approximately three times everage remains an achievable goal of ours to attain by the end of 2022 or early 2023. However, we will continue to seek to make incremental investments and prudent acquisitions when we believe they create long-term shareholder value. With respect to the outlook for 2022 that we provided in March based on year-to-date performance, continued market strength, our current backlog, our supply chain initiatives and our outlook for the rental fleet, we are maintaining our full year guidance at this time. Given our focus on supply chain management, cost control and exceptional customer service we are confident that we will finish the year within the EBITDA guidance previously provided. In closing, I want to echo Fred's and Ryan's comments regarding our strong performance. We are now one year out from our combination with Nesco and are well down the path of executing a transformational integration, delivering double-digit adjusted EBITDA growth, expanding margins in an inflationary environment and continuing to deliver the highest level of customer service.  With that I will turn it over to the operator to open the line for questions. 
Operator: [Operator Instructions] Thank you. Our first question is from Justin Hauke with Baird. Please proceed with your question. 
Justin Hauke: Hi, good afternoon. Thank you. Guess, I was just wondering on the guidance you kept the segment revenue guidance unchanged and I guess -- I'm just wondering I mean how much of that has to go through that way? I mean could some of the sales revenue slip into rental? Do you have the discretion to be able to adjust your fleet to where maybe the highest incremental margin would be from it or are you bound to sell your equipment in one backlog?
Ryan McMonagle: Sure. Justin good to talk to you and thanks for getting on the call. This is Ryan. I'll start with that. But no, we have the ability to flex and that's what we talk about. When we talk about the one-stop shop model, that's one of the things that is unique right about how we operate is that, we can pivot and react to demand when there's more demand on the rental side or if there's more demand on the sales side. So yes, we do have some ability to flex. At this point, we're working to finalize how we will add assets to the rental fee for the balance of this year and what we'll sell. But in general terms yes, we can shift product from rental to sales or vice versa. 
Justin Hauke: Okay. And then when you talk about the record production increase is that both on the TES business and the ERS business or just one? 
Ryan McMonagle: That's correct. It's on both. So, we think about production as building the completed trucks that we then can either rent or sell. So, that certainly is one thing we're very happy with this quarter in addition to really strong financials is seeing production ramp to its best month in March and then with an expectation and clear expectations now that that will continue through Q2. 
Justin Hauke: Okay, great. Thank you.
Ryan McMonagle: No problem.
Operator: Thank you. Our next question comes from Nicole DeBlase with Deutsche Bank. Please proceed with your question. 
Nicole DeBlase: Yeah, thanks. Good afternoon, guys. 
Ryan McMonagle: Hi, Nicole.
Nicole DeBlase: Maybe if you could just talk a little bit about utilization, didn't really see much of a seasonal dip in the first quarter which doesn't surprise me. But I guess, how do we think of that in the context of the normal seasonal uptick that you tend to see in 2Q? Is it more likely that utilization kind of flattens out at these higher levels throughout the rest of the year? 
Fred Ross: I guess what -- this is Fred Ross. I think what you're going to see is it, it stay pretty level where it's at. Hopefully we could get it to tick up. Probably the biggest reason why customers didn't -- we didn't see a drop-off because they knew if they turned it in they probably wouldn't get it back. So, it was pretty simple they needed to keep it and pay for it. But I don't see much of a dip going forward I think probably building. 
Nicole DeBlase: Got it. Okay. That's helpful. And then maybe think about getting through the supply chain issue and what happens on the other side? And maybe you could remind us what you would ideally like to spend. If you guys could have your wish list of CapEx this year and it wasn't constrained by supply chain, what would we be looking at with respect to maintenance and growth CapEx? 
Ryan McMonagle: Yes sure. This is Ryan. I'll start with that. I think Nicole, there's clearly more demand out there than there is in terms of what we're adding to the fleet right now. I think maintenance CapEx would be pretty consistent with how it's operating this year and how we see it operating for the balance of this year. It would just be increasing the growth CapEx component, but we've talked about kind of mid to high single digits.  So you start to move towards high single digits or low double digits. I think that's where we think, we could accelerate growth. And I think that's where we react a little bit to demand and how the market responds to that. 
Nicole DeBlase: Got it. And last one from me and then I'll pass it on. Just infrastructure bill, have you guys started to see any signs of pipeline building with respect to those infrastructure dollars or is that still something to come as we progress through the year? 
Ryan McMonagle: I think it's more something to come with the exception of we are seeing 5G happening now which we talked about for a long time, but it's actively happening. But I think a lot of it is just going to be a tailwind to increase the -- to increase our favorable runway. 
Nicole DeBlase: Thank you.
Operator: [Operator Instructions] Our next question comes from Stefanos Crist with CJS Securities. Please proceed with your question.
Stefanos Crist: Hey guys, congrats on the quarter and thanks for taking my questions. For the sales order backlog it's obviously up significantly. Are there any pieces of equipment in particular or maybe an end market that you're seeing the most demand? 
Ryan McMonagle: We really are seeing strong demand across all four of the end markets. So, utility is up, telecom is up, rail is up, and infrastructure up. So, I don't have those numbers in front of me kind of by segment, but they're all up significantly which is why backlog is up so much Stefan.
Stefanos Crist: Thanks. And then you talked about ramping up inventory as you did in Q1 as well as in Q2. I guess how should we think about working capital for the balance of the year?
Ryan McMonagle: It should be fairly flat Stefan. There might be a little bit of use of cash. But if you remember how we finance working capital, we're able to finance the majority of the inventory that we receive from our vendors with our floor plan line. So, it's really not a meaningful use of cash. You might see a little bit of uptick, but it won't be significant over the balance of the year.
Brad Meader: And Stef this is Brad. The other thing to consider I mean work capital for us is really going to come in two components. The real drivers are to give your inventory piece which Ryan mentioned which I think there will be some investment as we expand the parts side of things, PTA and others, but you're talking a couple of million dollars in most. I think the bigger true definition working capital would be AR and that's just more a function of revenue and timing because most of our sales and rental the terms are providing relatively short. So, you might see an investment in dollars. But again it's a good type. It's not really investment in cash as is timing collection of AR. 
Stefanos Crist: Perfect. Thanks guys.
Operator: Thank you. Our next question is from Scott Schneeberger with Oppenheimer. Please proceed with your question.
Scott Schneeberger: Thanks very much guys. I came on late so apologies if I'm duplicating anything or a little off. But could you speak a little bit more to the rental pricing environment in the second quarter to-date and how you've seen it progress this year? And just the conversations with customers with regard to your inflationary costs and their reception to rate increases? Thanks.
Ryan McMonagle: Sure. Scott I'll -- this is Ryan. I'll start and I'll let Fred talk to kind of some of the customer reaction. But as we've talked about we implemented tier pricing now a couple of quarters and we said it would take 12 months on the last call, we said it may take up to 15 months to really begin to roll all the way through the financial statements. So, we're still on that path. We are still rolling it out. And given the strong demand environment, we're able to continue to roll it out. And I'll let Fred stop to some of the inflationary pressures and customer response.
Fred Ross: The customers are really accepting it without much pushback at all. They understand when they go to the store they go to buy fuel. Everybody is facing the same thing. So, there's very little pushback they understand our costs are going up and that we have to cover those costs and it's not really been a problem to be honest with you.
Scott Schneeberger: Great guys. Thanks. I appreciate that. And then as a follow-up hopefully I'm not duplicating, but synergies, it's now as you mentioned been a year since the Nesco transaction. And how are revenue and cost synergies progressing at this point as well as just overall integration of the two businesses? Thank you.
Ryan McMonagle : Sure. I'll start with integration and I'll go backwards on your question, but I say integration is in a good spot. We mentioned in my comments earlier that we now have Kansas City and all of the Nesco service centers on the same ERP system. So that was a significant milestone for us to have the majority of that operation operating on one. So I think that we feel really good about that. The majority of the actions that we laid out from a cost synergy standpoint when we started with the $50 million initially, and then we increased it to $55 million, those actions have been taken. They will now take the rest of 2022 and into the beginning of 2023 to be fully realized, but the majority of the actions associated with those have been taken. And then we are starting to see -- we never put out a number in terms of quantifying the revenue synergies, but we are starting to see two categories of revenue synergies take place. The first is, because we have equipment and because the legacy Nesco sales team wasn't able to sell equipment. They are now able to sell equipment, which I think is being well received by their customers and not by our customers. And then on the PTA side, the average utility piece of equipment has a kit that ranges between $20,000 and $40,000 that's needed with those trucks. And so as we talked about some of the changes we are making in terms of how we operate on the PTA side, we're now seeing those start to take place. So it's -- we're talking about -- I think when we're talking in Q2, we'll be able to give you more detail there, but we're starting to see some early wins in terms of selling those kits to our customers, who historically have been buying utility buckets and diggers for us.
Scott Schneeberger: Great. Thanks so much guys. I’ll pass it on.
Ryan McMonagle : Thanks, Scott.
Operator: Thank you. [Operator Instructions] Our next question is from Noelle Dilts with Stifel. Please proceed with your question.
Noelle Dilts: Hi. Thank you. I was hoping you could just speak to sort of when you're looking at buying trucks and chassis and attachments, what sort of lead times are you looking at at this point? And how is that impacting or changing how you're thinking about procurement? Thanks.
Fred Ross : We -- by far into the future we always have, that's our business model. And it's one of the reasons why even though supply chain has been a pain for everybody, it's been less painful for us. We have decades long relationships. So we're already placing orders into 2023, some stuff will end up actually going into 2024. So we feel good that we're going to be able to get what we need. Again, there's always going to be challenges, but I think we're going to do better than our competition will by and large. 
Noelle Dilts: Great. Thanks. That's it for me.
Fred Ross : Thanks, Noelle.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Fred Ross for any closing comments.
Fred Ross : Thank you everyone for your time today and your interest in custom truck. We look forward to speaking with you on our next quarterly earnings call. In the meantime, please don't hesitate to reach out if you have any questions. Thank you again. Good night.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.